Operator: Good day, ladies and gentlemen and welcome to the Acxiom Q1 Fiscal Year 2013 Earnings Call. [Operator Instructions] As a reminder, this call is being recorded.
 I would now like to introduce your host for today's conference, Jay McCrary, Treasurer. Please go ahead. 
Jay McCrary: Thanks, operator. Good afternoon, and welcome. Thank you for joining us to discuss our fiscal 2013 first quarter results. With me today are Scott Howe, our CEO; Warren Jenson, our CFO; and Doctor Phil Mui, our Chief Product and Engineering Officer; and Art Kellam, Corporate Controller. 
 Today's press release and this call may contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. For a detailed description of these risks, please read the Risk Factor section of our public filings and the press release. Acxiom undertakes no obligation to release publicly any revisions to any of our forward-looking statements. A copy of our press release and financial schedules, including any reconciliation of non-GAAP financial measures, is available at acxiom.com.
 Also during the call today, both Warren and Phil will be referring to slide decks posted on our website. A link is also included in today's press release.
 At this time, I'll turn the call over to Scott Howe. 
Scott Howe: Thank you, Jay. Good afternoon, and welcome to everyone. Today we would like to cover several things. I'll start by sharing some significant highlights for the quarter. I'll then touch on the considerable opportunity within our space and how Acxiom fits in.
 Next, I'm thrilled that Dr. Phil Mui is joining us for today's call. I've asked Phil to spend a few minutes sharing his initial observations since joining the company, as well as his early thoughts on our forward product road map. Finally, Warren will update you on some of the things he is working on and walk you through the first quarter financial results.
 We've made some progress on the first quarter, but still have much more to do. In recent calls, I've tried to lay out our high-level priorities into 4 overarching categories: First, running a better business by strengthening our core foundations and tightening our execution; second, delighting our customers by maniacally focusing on the needs of our clients; third, driving our long-term margins and returns on capital by profitably operating against every product, client and geography in our portfolio; and fourth, innovating and leading through thought leadership, by developing world-class marketing and data services products.
 On our first priority, we believe we are operating a far better company than the Acxiom of just a year ago. I'm pleased with the 31% growth in earnings per diluted share that we achieved this quarter, despite the fact that we are still in the early steps of our journey. In his remarks, Warren will talk in more detail about many of the other initiatives we are pursuing to strengthen our core foundations and improve our execution.
 On our second priority, we also believe that we have made some initial progress in delighting our customers. Under the leadership of Nada Stirratt, our Marketing and Data Services revenue increased year-over-year at 7 of our top 10 U.S. customers, and we signed 13 significant renewals, including Canadian Tire, Rodale, The Home Depot and AGL Retail Energy. 
 We are also focused on transforming the way we go to market. Historically, Acxiom's revenue has been almost entirely driven by Fortune 500 marketers. Increasingly, we also seek to expand our network of resellers and channel partners. We are just getting started. But last quarter, our new partnerships included relationships with both Mindshare and Yahoo!7, expanding the global distribution of our products and services.  
 Finally, we have established the strategic accounts team to exclusively focus on cultivating large new relationships and expect continued progress from them in the future.
 On our third priority, we're slowly making progress on improving our margins through our focus on the portfolio. Last quarter, for example, our international margins improved by nearly 1,000 basis points from a year ago. Similarly, our IT Infrastructure Management business more than doubled its operating margins, from 6% last year to approximately 13% in Q1. 
 Again, we're just in the early stages of this effort. There is not an area of Acxiom's business in which we don't believe there are opportunities for us to operate more efficiently.
 Finally, rather than talk about innovation, our fourth priority, I've invited Dr. Phil to share his initial observations on our plans for the future. Phil's leadership gives me great confidence for the future. But again, we have a lot of -- a great deal of work to do.
 Over the past several weeks, I have been on the road and in the air. I've traveled across the U.S., China and Australia, visiting approximately 20 customers, have made nearly 30 sales calls and chatted with hundreds of our global associates. So why do I bring this up? Although the audiences and locations changed, one message stayed the same, there is tremendous opportunity ahead for Acxiom. We stood at the intersection of where 2 powerful trends are converging, and that's a great place to be. 
 The first megatrend is the explosion in availability of data, an ever expanding set of relevant data, coupled with the advent of lower cost storage and more predictive and effective data models, make our big data sets increasingly powerful and predictive. 
 The second megatrend is a fundamental shift in consumer behavior. People now view content in advertising across a much broader array of channels and devices. The explosion of a mobile, social, e-mail, apps and the Internet are changing how marketers need to communicate to their consumers. As media fragmentation explodes, it's more difficult to reach people with relevant and effective advertising.
 This is where we come in. Acxiom's opportunity lies in the intersection of these 2 megatrends. We allow marketers to tap into the wealth of available data to fuel better results. We are experts in data-driven marketing and decision making, and we are building a product road map that will allow customers to give people more relevant, educational and useful marketing information.
 Of course as we pursue this vision, we also continue to embrace our responsibility for data security and to respect individual privacy. Make no mistake, Acxiom intends to stay true to its core principles of privacy protection and security. We go far beyond industry standards to be sure our data is appropriate for the use to which we put it. We allow individuals to access and correct our fraud data, and we allow them to opt out of our marketing products. 
 Looking forward, we intend to continue to be an advocate for the effective and appropriate use of data. 
 Throughout Acxiom, our associates believe we are working to create a better future for both the marketing industry and Acxiom. It's exciting and our team is fully committed to the journey, but we also recognize there is a lot of work still to be done. We come to work expecting to be better every single day.
 And with that, I will now turn things over to Dr. Phil. 
Philip Mui: Thank you, Scott. Good afternoon, everyone. Before jumping in, let me start by thanking all my Acxiom associates for the warm welcome they have given me. It's been great. I have now been at Acxiom for a little over 2 months. Since joining, I have tried, as you would expect from an engineering and electronics junkie, to gather data and learn. 
 I have met with more than 30 clients, partners and hundreds of associates. In these meetings, I have tried to walk away with an understanding of our core products, what our customers' needs are and our core development capabilities.  From this assessment, as a team, we refined our game plan. Today, I would like to share with you my initial observations and then end by talking about Acxiom's product road map. 
 First, our strength. I'm inspired by the many core strengths of Acxiom. We have some great engineers and product people. They know data and in particular, consumer data. Our ability to gather, manage and analyze massive data sets are second to none. 
 Next, we have a deep respect for privacy and security, and always strive for the highest standards. Additionally, we know how to design, build and deliver solutions with a massive scale. Also, we have a strong set of data products, which are integral to our customers' needs and marketing efforts. 
 And finally, we have long-standing strong relationships with our customers.  
 These strengths give us a strong foundation from which to build.
 No decision makers care about data alone. They care about insights from data that can drive business decisions. For data to be insightful, analytics has to underpin every product at Acxiom. This past month, we started integrating our analytics team, led by Dr. Jie Cheng, into our product and engineering organization. In the coming years, we are doubling down on our analytics-driven product development. My many years working on Google Analytics will be helpful for me to lead Acxiom in this direction.
 Now let me share with you a few things on which we are working on. First, we are strengthening our product life cycle management function in order that we enhance our project trackings and milestone management. This coming month, we are formalizing a new product operations team.  From this organization, we expect tighter and faster product planning and much more focused development. 
 Second, we expect to materially strengthen our digital expertise. Today, Acxiom has a great talent pool of big data and analytics experts, but we need to add more people conversant with the latest technology, data ecosystem and design expertise. We are aggressively hiring in these areas, but we still have a long way to go.  Meanwhile, we have also engaged contract talent and consultants to ensure that we are making good progress toward the vision that you have heard from us. 
 Finally, as you know, we're investing in new products. On this point, let me share with you how we are approaching our go-forward development. I will now begin to refer to the slides referenced in our press release. 
 Slide 3, it starts with our vision. We want to be the most trusted partner for providing actionable customer insights, innovation and impact to marketing leaders and the suppliers worldwide. 
 In order to achieve this vision, we have a development framework as shown on Slide 4. Today, Acxiom collects data, first and third party, and then we refine that data into 3 marketing solutions: data that we offer for sale, analytics-based products and marketing systems. Lastly, around these solutions, we provide customized services.
 Looking ahead, that's shown on Slide 5, we call this suite of new products and services the Acxiom Refinery, or enterprise data management platform. With each new product development, we are making steady progression toward this vision. 
 Next, let me talk about how we think about development. Please turn to Slide 6. As you can see, our development framework is about growth, innovation and efficiency. Our approach to product development and delivery will be intricate. Just as Scott said, we come to work to make our products better every day. This is not a moon shot. It will be steady progression. You can expect new products, the developments of new partners and channels and a focus on driving analytics-based solutions. In terms of improving operational efficiency, our focus is on building standard, scalable platform and speed to market implementation.
 Finally, let me ask you to turn to Slide 7, then I'll highlight a few things that we're working on and are committed to delivering in the next 12 to 18 months. We are working to expand our data sourcing in at least 10 new countries, such as Brazil, Norway and South Korea. This new consumer data will allow our clients and the advertising partners to better understand and more effectively reach audiences relevant to the products globally. 
 For clients who want to reach specific users in their own database, we're working on automation systems that will significantly reduce the time and resources required. In the coming few quarters, our clients will be able to on board and target their own customers online in days rather than months. 
 This is a big deal. They will also be able to traffic their messaging and measure the effectiveness across the popular ad platforms online.
 From the analytics front that I'm personally very excited about, we will dramatically increase our industry-leading consumer predictive models by a factor of 5 in the next 12 to 18 months. These models will leverage Acxiom's data partner community for our clients to reach highly relevant audience across more verticals. 
 As you can see, we are working on things today that will deliver on medium term for our customers. These products are important steps in our steady progression toward our long-term EDMP vision. 
 Scott has talked about the megatrend convergence of data and consumer behavior. This is a very exciting time to be working in the marketing technology industry, and particularly exciting to be working in Acxiom with its 40-plus years experience helping global clients with their marketing needs.
 Acxiom is in a great position to lead the industry forward. This is why I joined Acxiom a bit over 2 months ago and why many new engineers and product folks are joining my team today.
 Thank you for listening. Now I will turn the call over to Warren. 
Warren Jenson: Great. Thanks, Phil. It's great to have you on our team, and good afternoon, everyone.
 Before jumping into the numbers, I'd like to update you on some of the things we discussed in our last call, all of which are focused on helping us to run a better company. 
 First, filling some of the critical gaps within the finance team was a top priority. We needed to strengthen our tax organization and secondly, build a global shared services organization in order to better help us derive benefits from scale. 
 I'm pleased to announce that we have hired Linda Lee as our new Vice President of Tax. Linda has approximately 20 years of experience in corporate and international tax planning. Prior to joining Acxiom, Linda ran tax departments at both National Semiconductor and before that, at McAfee. Again, it's not lost on us that our tax rate is higher than many of our peers. We see real long-term opportunity.
 We have also hired AJ Bernstein as our new VP of Shared Services. AJ will be tasked with building our global shared service centers to help us drive both overall efficiency and standardization of process. AJ brings a tremendous amount of global experience having done this at both Silver Spring Networks and Electronic Arts.
 Next, the way we are measuring and monitoring our business is getting better every month. While still a work in process, this quarter, we further retooled our management reporting in order to add additional depth and insight into both our top line drivers and our costs. Right now, this is a highly manual effort. But over the coming quarters, we will be much more automated and real time.
 Last quarter, I talked about unwinding our web of allocations and rethinking our management reporting in order that we could more clearly target and benchmark our line item performance. This project has been fascinating. We are pretty much taking what was a cloudy and opaque cost structure right down to the stud, and then putting it back together again. Working with Jena Compton, a key leader in our HR organization, we are literally going person by person to look at job title and function in order that we can determine exactly how costs align with benchmark-able activities. We have a great team working with Jena and me to drive this project. 
 This is really foundational work, but it's essential, as line item accountability and clarity is central to targeting and driving performance. We're about 1/3 of the way to being complete.
 Finally, we are making progress toward creating operating independence in each of our business segments. This past quarter, we have built a blueprint and time line for implementation. We have also identified assets that clearly belong in one business or the other, and we today are in the process of constructing the intercompany agreements for any services which will need to be shared. 
 As I mentioned in our last call, we are doing this in order that we create even more transparency and accountability into each segment's performance.
 In summary, this is all about going slow to go fast. It's about getting our foundations right. These changes will ultimately let us run faster with a lasting impact. We are charting a clear course forward and are working with our business partners to drive long-term value.
 Now I'll discuss the quarter and our outlook. First, a few highlights from the quarter. Q1 EPS was $0.17, up over 30% year-over-year. Q1 op margin improved to 9.4%, reflecting almost 200 basis points of improvement. Operating margin for both our Marketing and Data Service and Infrastructure Management segments showed year-over-year improvement.
 Given the strength of our balance sheet, we were able to spend approximately $33 million in the quarter to repurchase shares. Since August 2011, we have now retired almost 10% of our outstanding common stock.
 In the quarter, we added approximately 50 associates and contractors, who are focused on product development. For the quarter, 7 of our top 10 customers in U.S. Marketing and Data Services showed year-over-year growth.
 I will now discuss the quarter in more detail. In the course of my comments, I will be referring to the slide deck, which was posted on our website. A link was also included in our release. 
 I will start with Page 10 and our Summary Financial Results. Total revenue from continuing operations was $272 million, down 1.6% from last year. Excluding divested operations and FX movements, revenue was roughly flat.
 Operating expense for the current quarter was $246 million as compared to $255 million, a decrease of 4%. The reduction in expense was primarily attributable to expense reduction in the IT infrastructure segment.  Operating income increased 23% to $25 million. 
 GAAP diluted earnings per share were $0.17 in the quarter compared to $0.13 last year, reflecting a strong 31% increase.
 For the trailing 12 months, free cash flow to equity was $175 million compared to $69 million for the trailing 12 months ended June 30, 2011. Excluding the proceeds from the sale of our background screening business, trailing free cash flow to equity was $102 million, up 47%.
 For the quarter, free cash flow to equity was negative $18 million compared to $10 million a year ago. The decline was a result of higher compensation-related payments and also tax payments primarily associated with the sale of the background screening business.
 Now to Slide 11, and a detailed look at our top line. In the U.S., Marketing and Data Service revenue was up 2%. IT Infrastructure Management, however, was down 4%, which continues to reflect the impact of a prior year customer loss. 
 U.S. Other Service revenue, which includes our risk products and fulfillment business, was down approximately 5%. 
 Overall, international Marketing and Data Services revenue decreased by $3 million or 11%.  Adjusting for FX, international Marketing and Data Service revenue would have been down approximately 5%. 
 International Other Service revenue was down $1.9 million, mostly as a result of the MENA divestiture.
 Slide 12. Overall, our company's operating margin was 9.4%, up close to 200 basis points versus 7.5% a year ago. In the U.S., the Marketing and Data Services margin was 13.3%, down from 14.8% last year. The decrease in margin is a result of the investments in delivery and higher data compilation cost associated with new product development.
 Despite lower revenues, IT Infrastructure Management showed significant margin improvement to 12.6% from 5.8%. This is a result of strong cost management and other continuing efficiency improvements.  Thanks to Kevin Zaffaroni and his entire team, we're doing a great job managing this business.
 Our international operations improved by approximately 1,000 basis points as a result of last year's restructuring. While we have a ways to go, this is a major step forward. 
 Now I'll make 2 comments on Slides 13 and 14. First, our cash flow remains healthy. On a trailing 12-month basis, operating cash flow was up 7%. And free cash flow to equity, excluding the sale of the background screening unit, was up 47%. 
 Secondly, the company's financial position remains strong. We have strategic flexibility, and at the same time, in the last 12 months, have been able to retire $120 million of debt and retire approximately 10% of our common stock for roughly $100 million.  Looking at our balance sheet, we're exactly where we want to be.
 Now on to guidance. I would like to reiterate that 2013 is both an investment year and a transition year. We have a lot going on. Therefore, we continue to ask that you be conservative in your estimates. For fiscal 2013, we are maintaining our top line guidance to flat to slightly down. On the bottom line, we are tightening our earnings per diluted share guidance to be between $0.60 to $0.65 from our previous guidance of $0.55 to $0.65.
 For the second quarter, we expect revenue to be down roughly 5%, principally as a result of expected declines in our IT Infrastructure Management and Other Services segment.
 Now before turning the call -- or opening the call for your questions, on behalf of Scott and Phil, let me conclude by thanking everyone for your support, and equally importantly, by thanking all of our associates for all they do. We truly come to work every day to make our company better. We look forward to reporting our results.
 Operator, with that, we'll now open the call to questions. 
Operator: [Operator Instructions] Our first question comes from Carter Malloy from Stephens. 
Carter Malloy: So first, on the IT outsourcing business, very surprisingly good quarter there relative to expectations. Can you give us more on detail there? You talked a little bit about the margins just because of cost management and efficiencies, but what does that mean and is that sustained going forward? Or do we expect to see some of that reverse back out? 
Warren Jenson: I would say it's pretty much as advertised, Carter. As I mentioned in the call, going back to our last conference call, this has been about understanding that there's going to be a negative trend for a year and then getting ahead of it. So as I mentioned, what Kevin and his team have done is to do exactly that. We lost the customer, we took steps to reduce our cost pretty much across the board, wherever it was necessary in order to preserve and in fact, enhanced our margins. I can't tell you, you're going to have this sort of out-performance every quarter; but I can tell you, you have a team there that is very much focused on delivering their plan and delivering results. 
Carter Malloy: Okay. And then -- so definitely, congratulations to Kevin and his team. So on the other side of the house then, if we're looking at the margin of the rest of your business, specifically Marketing and Data Services, is that just more related to timing around the investments? And how that's flowing through that segment? 
Warren Jenson: Yes. I'll look at it and then I'll turn this -- let Scott to comment here too. I'll look at the margins specifically. But I think we've been very clear that this is a year of investment in Marketing and Data Services. So point number one, we felt it very important to invest in delivery. And we did that in order to enhance, protect and build our existing customer relationships. So with that, costs come up. Looking forward, I can tell you Mike Lloyd and his team, working with our engineering teams, are very much focused on long-term productivity. But we just needed to invest in our clients. The second investment that we've been very clear about in which Phil chatted on, and I'm sure could comment further  too, is that our product development, is that we needed to make investments in our products for tomorrow and our future. So we're doing exactly that. In the near term, that's causing some margin pressure. Let me, however, remind everybody that in total, Marketing and Data Service margins were up. We're investing in the U.S. You're feeling that. But at the same time, internationally, our margins improved over -- close to 1,000 basis points. So you add all of that together, margins went from 9.3% to 9.9%. Scott, anything you would like to add? 
Scott Howe: I guess the other part of margins, Carter, and kind of how we're anticipating the question that others may have as well, the other part of margins is growing our top line. And there again, we feel like we're taking a bunch of steps in a positive direction. Obviously, Phil talked about the things that we're doing from a new product development perspective. But then in addition to our new product development, there are a few things that are important for driving Marketing and Data Services top line growth. And kind of in order, to me the first thing is protecting our base. I feel like we're doing a really good job here based on our renewal rates, which I think were 100% last quarter. And then also, I think in our last earnings call, I talked about the improvements in client satisfaction that we've observed. So it really feels like A on that one. The second piece is up-selling our existing client base. We talked already in this call that 7 of our 10 top clients increased year-over-year. So feel good about that, but we'd like to see that be all 10. We're kind of grade as a B- there. And then the third is we have to do a better job at translating satisfied existing clients into new logo wins. And we talked earlier in the call about creating this new strategic account team to focus entirely on new logos, I think we grabbed 4 in the past quarter or so. But the key here is not responding to RFPs, but creating opportunities for ourselves, that never actually get to the RFP stage. And on that I'd probably give ourselves an incomplete. But in terms of driving further margin improvement, that's a key, not for this year, but really for 2014. 
Carter Malloy: Okay. And then lastly, Phil, thanks a bunch for jumping on the call this early on and I appreciate the insight on what you're doing there, but going forward in terms of your product development strategy and where you guys are investing, how are you judged internally? And maybe beyond that, how do you -- how does the Street judge your progress in terms of the product development pipeline? 
Philip Mui: Right. On how the Street is going to evaluate that, I'll leave that to Warren and Scott who are much more experienced at doing that. But in terms of product development, this is the way that we are looking at it here in the product team, we are here to try to build repeatable solutions that our delivery team can deliver and scale across multiple clients as quickly as possible. So to do that correctly, we iterate a lot with our customers, right? We listen to, as we build each iteration of the product, we want to hear back from the customer, whether we are addressing their needs. And based on that feedback, make further iterations. So in the Silicon -- in the Valley and elsewhere in the software fields development, this is called agile development. And so we're very much focusing on addressing end customer solutions rather than building product for product's sake. Does that make sense? 
Warren Jenson: And I might add on that front, Carter, that -- and Phil touched on this -- and, Phil, you may even want to expand on this a little bit, I'm really pleased that when I -- and I've been fortunate that Phil and I are office mates and we see each other every day and talk several times a day just face-to-face is that one of the things that we both recognize that we really needed to strengthen our overall, call it, program management or life cycle management is what Phil talked about. So when you talk about being judged, it's about, "Okay, well, what are the development milestones? What are the features and are you hitting your dates?" And Phil saw that straight away. And while it would take us a while to build the capability, he is dramatically strengthening how we're going to report on our feature development and our overall product development. Ultimately, as is the case and we try to convey today, it's about new product innovation or introduction, and then also having those products generate revenue. And the other thing that I think is truly going on or just really positive at the early stages is I'm observing that Phil is totally connected to our customers, totally connected to our sales organization. And it's that sort of connection that will drive effective product launches and ultimately, the generation of revenue. Phil, anything to add? 
Philip Mui: No, I cannot say it better, Warren. 
Operator: Our next question comes from Todd Van Fleet for First Analysis. 
Todd Van Fleet: I wanted to ask about IT management, I guess, off the top. A tremendous operating margin result from the quarter. I'm just trying to understand, what's changed in that business? I mean Kevin's been around -- I think you said it was Kevin kind of leading the charge there to help kind of find ways of getting the margin profile up, but what's changed over the past year that has allowed the company to really move forward in an expeditious fashion with righting the cost structure and getting that margin profile north of 10% here even in the first quarter, which is presumably a down quarter typically? 
Scott Howe: Yes, I'll jump in on that. So really, I think there's 2 underlying trends. The first that is just good solid management. I mean what gets measured, gets done; what gets focused on, gets attention. And so credit to that entire team to really look at every aspect of their business and just manage it more effectively. And I mentioned earlier, I don't think this is unique. I think across Acxiom, there's not an area that we can't just simply manage it more effectively and credit to those guys for doing it. The second thing that's going on, though, is that any time we bring on new clients, there's always a period where we're learning. And so if you recall, preceding me, we brought on a major new client a couple years ago. And as we've developed that relationship, we just become a lot more efficient at servicing them effectively. And if you look at the score cards that we have with clients, things that were once yellow have increasingly become green. And we're just getting into a rhythm with our client base. And so that plays a big role in this as well, just kind of the maturity of our clients. The longer a client is with us, the more stable the relationship and the better we can serve them. 
Todd Van Fleet: Scott, is there a customer mix issue working in the company's favor as well? So even though the top line is shrinking a little bit, it sounds like maybe that's working in your favor a little bit. 
Scott Howe: Yes. I mean, that's certainly true when we look at the customer that came out in Q4 of last year, that has a top line impact, but is really insignificant at the bottom line level. But I'm not sure it's a mix issue in our ITO business. I think elsewhere, in international for instance, we see a far greater mix issue, both on products and also clients. 
Todd Van Fleet: Okay. And then just to follow up on that, in the intercompany agreements that you talked about, I'm wondering what's the time frame to have the intercompany arrangements kind of finalized? I mean, I hear that sort of thing and it really seems like that the company is like, you said, doing what it can to become more transparent but also at the same time, internally, everyone becomes aware of where the money is going, revenue, expense and so forth. And I'm just trying to understand a little bit better, at the others, how long is it going to take to get that process done? And at the other side of that process being complete, will there be operationally within Acxiom kind of a clear distinction between IT services that are being provided to the marketing and data group versus the IT management or the ITO group? 
Warren Jenson: Todd, this is Warren. The answer to the last part of your question would be yes. So what we've tried to do was to say, okay, if you take a look at the operational assets -- let me have you just kind of take a step back here for a second. First, why are we doing this? We're doing this for increased transparency and for accountability. Secondly, when you think about the broad set of businesses at Acxiom, there are a couple of businesses where we already have good separation -- 2 Touch, the call center in the U.K. pretty much separated. Our risk business, pretty much separated. Our e-mail fulfillment business, pretty much there, probably a couple more months worth of work to do. Then as it relates to ITO and to Marketing and Data Services, pretty much midstream. And what we hope to do is any place where there is overlap, get those relationships documented and then where appropriate, the right sort of plan for migration, for separation. When would we expect to have all of that in place? I'd say certainly before year end. 
Todd Van Fleet: Okay. Before the fiscal year end or calendar year end? 
Warren Jenson: Fiscal. 
Todd Van Fleet: Fiscal. Okay, great. And then I'm sorry, just one more that the -- the earnings performance in the quarter was fantastic, and I think it's traditionally kind of a low point perhaps for the year, the fiscal year for the company. $0.17, it's difficult to annualize any quarter for Acxiom, but you're kind of on a -- more of $0.70 EPS run rate. I know you talked about -- or you really talked about a couple things, right, finding more efficiencies throughout the business, but also at the same time begin an investment year. So I'm just trying to think about where do we see the investments. Is it kind of in the COGS line? So do we see the gross margin kind of come back a little bit over the course of the fiscal year? Or do we see it more on the SG&A, given the fact that it sounds like we have some folks that are chasing new business opportunities, but it might be a while before we see anything from it? 
Warren Jenson: I would expect them to be principally in COGS. So when you think about it, we're going to have some year-over-year comps on delivery from the investments that are being made and then also the investments that we're making in products. So that's where we would see the investments. And then I would -- I'd kind of come back, Todd, for us, we just want really to reinforce. We got a lot going on, and we'd really encourage everybody to be conservative in your estimates. We think we're doing the right things. But this is a time to be conservative, given everything that we have going on. 
Operator: Our next question comes from Dan Salmon from BMO Capital Markets. 
Daniel Salmon: My question was on, I guess a little bit on the Mindshare partnership specifically. And also Scott, the message you delivered here earlier around putting a bigger focus on reselling, partnerships and channel partners, which is starting to be a bit of a new story for the company. I'd just like to hear more broadly about that. And with Mindshare specifically, I'm interested about how that came about, particularly because that's a company with a parent that has a lot of data assets, some technology investments, not exactly the folks I would have expected going out making partnerships with Acxiom. What are you doing that's so differentiated there? 
Scott Howe: Yes. So very broadly, I'd say that our thinking on distribution partners and channel partners is really driven by a couple of things. Remember, my last job before Acxiom was at Microsoft. And it's interesting. Microsoft used to be very much a direct sales force. They started a channel partner program, and I think that is every bit as big as their direct sales effort now. But when I got to Acxiom, what I realized is our clients here were asking for the same thing. That in many cases, they were increasingly dissatisfied by having just a silo of data that sat on premise or sat in the warehouse that only they would access. But increasingly, they're asking for us to enable an increasing array of their partners. And in many cases, either participants in the industry are also coming to us directly and asking for the same thing because they realized that to be more effective at whatever they do, whether it be ad serving or targeting or decision making, they need to have access to a broader array of data. So this is something that is still very much in its infancy. I believe we have just under 30 partners now here signed up. But it's still fairly insignificant revenue. But we believe that this is going to be a more important piece of our business going forward than certainly it has been in the past. In terms of the Mindshare partnership, they're one of the first agencies that we really had a conversation with. And in many cases, we knew agencies well because we're working on the same clients. And so it just came together naturally. And I think they probably have other relationships like this. We're pleased that they've added Acxiom to the fold. 
Operator: Our next question comes from Mark Zgutowicz from Piper Jaffray. 
John Crowther: Yes. You've got John Crowther on here for Mark. First question sort of focuses on you highlighted that growth with international still tends to be a struggle on the top line while you've definitely improved the margins there. Just wondering if maybe you could break down by region and sort of let us know how some of the different regions are performing there. 
Warren Jenson: John, typically we won't go into a regional breakdown. But I would say across the board, the trends were pretty much the same. I would go back to really our call the last time, and this is a year where we are focused on profitability and then building from a profitable base. I could also ask Phil maybe to comment for a minute on our approach to product development, because it's also a year as part of investment that we are trying to globalize our product. So it's no accident that Phil talked about building out 10-plus different countries with different kinds of assets. And the reason for that is we want to be able to sell to our big customers who have needs in other parts of the world. So this is a year where we across the board, whether it's Brazil, whether it's Europe or whether it's Australia, are completely focused on profitability, focused on getting our products right and then building our growth off of that solid base. So now, Phil, if you'd like to maybe comment a little bit on the work you're doing on our international product set? 
Philip Mui: Sure, definitely. So one of the things for those who know about Google Analytics that I worked in before for the past 6-plus years is one of the core strengths of Google Analytics was it's localized into 40 different languages and regions. And so I'm bringing with me that experience of working on a product from a global basis into the product development framework here at Acxiom. So the one easy thing for any product group to do is just target the U.S. and build a product that works for the U.S. But at the same time, the same product could easily be localized into another highly profitable area around the world that could leverage it. But it needs to be -- whatever localization to happen, we should build into development framework. So part of my first 2 months was to understand among our core products here at Acxiom, how do we instrument into this localization framework so that as we scale the same product globally worldwide, it is easier to do than before. So to make that happen, I am very fortunate to be aided by the many experts that Acxiom has across multiple regions who would like to leverage our existing core businesses, core products worldwide. And so what I'm doing is to -- building the right process in place so as to be able to scale our products across the different regions of the world. 
John Crowther: That's very helpful. So sort of speaking to the whole product development cycle here, I appreciate the in-depth slides you gave, sort of laying out the framework here. I noticed that it sort of said you have a 12 to 18 months time line. And Scott, I know you said in the past that the digital sort of integrating product and scaling a little bit more towards the digital side leaves you a little room for error in terms of the ramp-up cycle. I'm just wondering, given the 18, 12 -- 8 -- 12 to 18 month time line here, is this something you feel like you guys can do 100% organically? Or do you need to bring in some other capabilities to sort of hit those time lines that you've outlined? 
Scott Howe: Yes, so couple things on that. First off, on the product development front, you're right, 12 to 18 months. But again, what we've tried to communicate in past is that it's not like we'll flip a switch in 12 months and all of a sudden we'll light up all the capabilities. Rather, we do what we're building, this concept -- the construct of the EDMP is a journey. And so we're lighting up features along the path all along the way. And my guess is in 12 to 18 months, the market is going to have new needs. And so then, we'll begin building for those. So it's an ongoing process. Product development has to be a cadence. Now that said, we are always thinking about acquisitions. And I've said in past, we don't think that there is, what I would call, a major acquisition at the present time that would be high on our radar screen, simply because we have so many other things prioritized. That said, we do as we create our build blueprint, we're constantly evaluating whether there are things that we could buy that would accelerate our build. But we'll only do those things when they generate a positive ROI for shareholders. So we're always looking at time-to-market and the ROI, the buy versus build scenario. Those things would generally be what I'd call more tuck in acquisitions and largely involved particular technologies that are part of our EDMP road map. Scott? 
Philip Mui: Scott, if I could jump in with some additional thoughts here. Around our build for this EDMP road map, it is definitely an iterative, steady cadence type of build that we are doing. So to accelerate some of these new development in addition to building it ourselves with internal resources, we are also -- if I understand the business better, I'm also engaging with consultants and contract talent that I have used in the past extensively. And so as I get to know this particular market a little bit better, I hope to be able to tighten the road map, so as to be able to build out the EDMP vision iteratively with our customers' feedback. And so just like any kind of road map that is more than a year out, the variations there is going to get smaller as we actually engage in actual build. 
John Crowther: Great. And then just one last one here. Obviously, you had great margin performance in the current quarter as highlighted in the previous questions. But is that something that's allowing you to maybe step up to a level on investment here that given you've got a little bit better performance in the near term? 
Warren Jenson: I don't feel -- and I'll jump in and, Scott, you may want to add to this. I feel we are at the right level of investment for building and then efficiently executing. And many times, at least I think our collective experience around development is that you can't just throw money at a problem. You've got to do this efficiently and effectively in order to produce a desired result or you just end up with a bunch of people coding and not as tight a focus as you would want. So you actually diminish your chances of success as opposed to enhancing it. So from my own vantage point, and I'd ask Scott or Phil to jump in, this is not about throwing more resources at development. We are throwing an adequate level of resource in that development to ensure we can get to our destination. Now at the same time, as we move forward, get through a lot more transparency into our cost structure, start to think about a targeted P&L and benchmarking, there is -- every one of us comes to work everyday looking for different way to be more productive. So we would certainly hope that over time those efforts will bear fruit and also offset some of the cost of the investment and then also help us to drive greater levels of efficiency and return on capital. 
Scott Howe: Hard to add anything to that, other than to say it's spot on. The gating factor for us is hiring the right talent. And the first hire is always the hardest. So I would expect that our hiring ability will increase over time. The fact that we were able to bring in someone of Dr. Phil's caliber as an example. He's very well known in Silicon Valley, and people want to work with them. So I think that's helped, but we're starting slow and we're going to pick up steam over time. This is a journey. 
Operator: Our next question comes from Dan Leben from Robert W. Baird. 
Daniel Leben: First off, in the Marketing and Data Services, expenses are essentially flat year-over-year and nice job on the control. Help us understand how much -- what kind of costs taken out versus incremental investments to get us back to the flat level. 
Warren Jenson: I think for anything administrative, what I would say is that we're looking for overall levels of productivity. So if it's not adding value to our customer, we're trying to obviously drive that to be more efficient in pretty much everything we do. In the investment side, we've had higher data compilation costs, which has been associated with new product development, which Phil's spoken about. And then also during the quarter and I would expect this tend -- or excuse me, trend to continue down for the back part -- into the back part of the year, negative comps on delivery. And again, that was a very conscious decision in order to invest in our customers and then build from there. 
Daniel Leben: Okay. And then you mentioned the $30 million in investment was kind of the bogey this year around the new platform. How much of that kind of ran through the quarter? And is the capitalized software, the stepped up, is that a big portion of that? 
Warren Jenson: In total, the spend incremental was $3 million, and about $1 million of it was net. And then our cap software, which I'm sure you're looking at in the release, was $3.7 million, which is up about $3 million year-over-year. Now not all of that is i associated with development, but a big chunk is. So $3 million and $1 million net, the rest going into cap software. 
Daniel Leben: Okay. So as the investment ramps up to the -- to a full $30 million, is that flowing through the P&L? Why the guidance is for the year -- a question was asked earlier about a seasonally weak first quarter, should we expect a steady ramp-up in those investments? Or is it more a back-end loaded type of investment? 
Warren Jenson: We're going to work our way up to the right run rate. But then between the work that I can see how Phil is approaching recruiting, it's been very thoughtful, being very methodical, but also reaching out to people he knows in the community to bring in the right kind of outside consulting help. So we will be ramping up to our spend. Does that mean we get automatically to a full $30 million for the year? Probably not. But clearly, we are ramping spend. And that is part of the rationale for the guidance. And then I would just reiterate, we think there is a lot going on at the company. It's time to be -- it's just, we ask you all to be conservative. 
Daniel Leben: And then the guidance for the second quarter on the top line, the downticks in IT and Other Services, should we think about Marketing and Data Services kind of hanging in this flat type area? Or should that business actually improve against an easier comparison? 
Warren Jenson: I'm -- I think that's probably a pretty safe assumption. I'm really enthused about the work that's going on in our overall sales organization, what's going in, in product that we are building, I think, some pretty good momentum for the long term. But in the short term, our revenue guidance is overall 5, and ITO and the Other Services segment would be those that are driving that negative comp. So roughly speaking, Dan, I think your statement is pretty much spot on. 
Daniel Leben: Okay. And then last one, just for Dr. Phil. If you could talk a little bit about -- you mentioned the architecture. How much time are you having to spend kind of modernizing the current Acxiom infrastructure versus building the project, data refinery with new technologies on top of it? 
Philip Mui: Yes. So thank you for asking the question. So first of all, for a lot of the existing businesses that Acxiom is in for a lot of offline recognition and e-mail businesses and so on. The infrastructure that Acxiom has is outstanding, probably among the best that I have seen. So a lot of the investments that we're talking about here is for a lot of new channels that Acxiom is opening up. This includes a lot of the online channels that you've been hearing a lot in the news. And so a lot of the build that we are doing is expand the product scope that our sales team is able to sell into new channels and then as a result of that, help them sell a more packaged solution to the end clients. So in many ways, what we are doing on the online digital side is building base on the foundation that Acxiom has done really, really well in on the offline business. And we are building out new channel partners into the online, building new ways to inject data across new channels, et cetera. 
Operator: Our last question comes from Todd Van Fleet for First Analysis. 
Todd Van Fleet: Just want to follow up on the -- last quarter, you'd mentioned that there were about 10 pilots that were underway with respect to some of the new technology. I got the impression that, that was largely with respect to kind of the speed of overall delivery as opposed to any product. I don't know if you have any new updates for us, Scott, this quarter on whether those pilots are still kind of ongoing or how those pilots shook out. 
Philip Mui: Can I step in for Scott for second? So for those pilots, as you mentioned, they were very much from a service perspective. And so as one of the first thing that I arrived at here, a little over 2 months ago, was to notice this tremendous opportunity, right, for us to shorten the services need for such delivery. And so we have already started creating automation systems to really, basically product-ize a series of service-based offerings so that we can scale this significantly faster. So in terms of learning, those pilots that we have started a quarter ago have given us significant understanding of what customers need. And it's based on those learnings that we are creating standard components and platforms, so as to scale those services out to many, many more clients coming up. 
Todd Van Fleet: Okay. So the feedback that you've gotten was that the pilots were successful, and then that feedback is allowing to shape your product. Is it going to result in -- just help me understand what is it going to result in? Is it going to result in preserved revenue or new revenue opportunity? How can you characterize that for us? 
Scott Howe: Yes. I think quite frankly, both. So the pilots have just been absorbed into kind of a day-to-day fabric of how we're working with many of those major clients. And then the goal that we always have is to extend the unique one-off things we're doing with the small set of our clients and over time, standardize and scale those across our entire client base. So we like where we're going on that. I just -- I want to be sensitive to time here, but I appreciate the fact that all of you have stayed with us for the entire hour. So thanks again for joining us and look forward to giving you an update on the progress that we make next quarter in 3 months time. Thanks, everyone. 
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may all disconnect.